Therese Sjoborg Skurdal: Good morning, and welcome to Kongsberg Automotive's Q2 2025 Earnings Call. My name is Therese Skurdal, Communication and Marketing Director, and I will be the moderator for today's session. Thank you all for joining us. Before we begin, please take a note that today's call will be recorded, and the recording will be made available on our website. The agenda will start with a presentation from our CEO, Trond Fiskum; and CFO, Erik Magelssen, that joined us in June, followed by a Q&A session. [Operator Instructions]. Now, I'm pleased to introduce our CEO, Trond Fiskum. Trond, please go ahead.
Trond Fiskum: Thank you, Therese. Good morning, all. I will take you through the executive summary and market update before we go into the financial update. We will start this earnings call with where we ended in the previous earnings call in May. We informed back then that the financial performance was not satisfactory and that meaningful changes were required. KA is a clear turnaround case. Turnarounds are not made from one quarter to another, but we have taken many significant and important steps since May. In this slide, you can see some of the highlights. We have launched an additional cost reduction program that will have EUR 15 million in annual impact when fully implemented. This comes on top of previous programs earlier announced. We have renewed the executive leadership team and reinforced a performance-oriented culture in KA. We've decided to close our office in Zurich. We have decided to consolidate our Swedish plant footprint from 2 plants to 1 plant by moving our Ljungsarp plant into the existing Mullsjo plant. We have decided to make a strategic acquisition of Chassis Autonomy positioning KA for long-term growth in a fast-growing product and market segment. And then before we go into the financials, I want to introduce you to one of these highlights that we are very excited about, the acquisition of the remaining shares in Chassis Autonomy that will give KA full ownership. The market for electric and autonomous vehicles are fast growing. There are many technology changes and opportunities. Steer-by-wire is one of those technologies that is expected to grow significantly over the next decade. KA has previously taken a 20% position in Chassis Autonomy, and will now exercise call options to take full control. The steer-by-wire market is projected to grow substantially over the next decade with estimates reaching EUR 3.5 billion by 2035. Through this acquisition, KA aims to secure a meaningful share of this fast-expanding segment. The acquisition aligns very well with our strategic ambitions and our capabilities, and KA will be able to utilize our global footprint to create new opportunities and unlock the value in this technology. We position KA for long-term growth within fast-growing product and market segments. This is also a reinforcement of our commitment to innovation, sustainable mobility and to create long-term value for our shareholders. As mentioned initially, a turnaround is not done from one quarter to the next. What we have experienced in Q2 is that revenues are down from Q2 last year by some 8%, although it has improved over the last 3 quarters. With minor exceptions, there is a direct correlation between the overall market development and our revenues. EBIT for Q2 is significantly reduced. This is mainly a result of a thorough review that myself, Erik and the team have done on our liabilities related to future warranty expenses. And as a result, we have increased warranty accruals with some EUR 8 million. There are also some impacts related to tariffs and impairments of noncurrent assets related to a customer contract. Erik will talk a bit about these later. The free cash is close to breakeven for the quarter, and has significantly improved from previous quarters, as well as from Q2 last year, and continue a positive trend the last 4 quarters. We continue the implementation of previously announced cost reduction programs and launched in May another initiative that comes in addition to the previous programs. As a result of these initiatives, when fully implemented by Q3 2026, we will have a reduction of approximately 500 indirect cost position, and some EUR 42 million in improved annual indirect cost base. This represents an improvement that will give an EBIT improvement in the range of 4 to 5 percentage points based on stable revenues. This is significant. We do see the impact of these programs starting to materialize. And as you will see later in the EBIT bridge that Erik will present. Our business wins for Q2 is EUR 91 million. This is lower than previous quarters. The reason for this is that tariffs and market uncertainty has led to a slowdown in business awards by our customers. This may continue also over the next quarters. We do, however, remain with a strong pipeline of business opportunities. And while some business awards and introduction of new vehicle platforms are being postponed, it also means that some of the current business that KA holds today will continue for a longer period of time. So, the picture is a bit mixed. In May, we announced an important business win in China. This is a product where KA has a unique capability. It is in a fast-growing market and in a growing product segment. And we have a cost-efficient setup, and competitive in the Chinese market. And we do see more of these kind of opportunities going forward. The tariffs continue to be a strong focus. While we have had a negative tariff cost of EUR 2 million in Q2, net negative tariff costs, we expect to recover close to 100% of these costs in the end. After Q2 closing, we have had several negotiations with our customers and concluded several of them with 100% cost compensation. So over time, we do expect the net impact of tariff cost to be minimal. And as reported in May, the primary concern for us is the negative impact on the overall market demand that we have seen materialize. Going back to the turnaround initiatives. In June, we announced a new organization structure and several leadership changes. We eliminated, or significantly scaled down several corporate functions. Some of the functions were merged, others were moved into the BAs. An important outcome was the strengthening of the 2 business areas. They now control all key resources needed to properly manage their business and their P&L. These changes were also a reinforcement of a performance-oriented KA culture, where clear responsibility, accountability and ownership are key elements. We continue to work on strengthening the teams on all levels and parts of our organization. Since 2008, KA has had 2 production locations in Sweden with approximately 1 hour drive from each other. After a review in Q2, we decided to consolidate the 2 plants into one. The Ljungsarp plant will move out of the existing facilities and move into the existing facilities in Mullsjo. This consolidation will provide cost synergies and a significantly stronger operational unit in Sweden. We will also move steering column product development from Willis in Texas, U.S. to Mullsjo. And together with the acquisition of Chassis Autonomy, this is a strategic bid on both Sweden, advanced steering systems, innovation and growth. We have recently made a decision to close the Swedish office with the move of Kongsberg Automotive's headquarter back to Kongsberg, and a review of our cost structure. This was a natural consequence and a natural decision to be made. The functions in the Swedish office will be scaled down and primarily be moved to Kongsberg. The full transition will be completed by the end of March 2026. Kongsberg Automotive has, for many years, had a joint venture with DETC, which is a joint venture between DongFeng and Nissan. We decided in June to take full ownership of the joint venture, and this was concluded in July. The company is an important part of KA's business in China and have several key Chinese OEM as customers. With this acquisition, we will move -- we will have more flexibility and have more control to optimize costs and to drive growth in a very important region for KA. Back in May, during the Q1 earnings call, I presented these priorities for 2025, further cost base adjustments, improved cash flow, strengthening the leadership teams and KA culture, innovation and profitable growth. Since then, we have taken several decisive and important steps to deliver on these priorities, and we will continue on this turnaround journey, and we will keep you updated about any major developments as they happen. Over to the market. First, we do see some short-term uncertainty, and it's hard to predict what will happen in the next few quarters. Overall, we do not see a favorable market in the short term, and it is also reduced compared to our expectations in May. We are managing this situation very actively, both operationally and financially. What is important and what we can see on this slide is the longer-term growth. Currently, the outlook for 2026 is positive, especially in the commercial vehicle segment, where we have a significant portion of our business. And beyond 2026, the market development is positive in all regions and vehicle segments. This is a market growth that should fuel KA's growth in the years ahead. With this, we will move over to a deeper dive into the financials, and I will hand over the word to our CFO, Erik Magelssen.
Erik Magelssen: Thank you, Trond, and hello all. My name is Erik Magelssen. I'm the CFO from 1st of June. So, we start with Flow Control Systems. We see that, there's a positive development with an increase in revenue of 3.1% compared to same quarter last year. The net increase in revenue also includes the effects of a negative currency translation effect. So, it's a 5.3% increase in revenue at constant currency levels. We see there's a positive development also in the EBIT level going from close to 0% margin in Q4 2024 to 4.7% in Q1 and to 8.3% in Q2. This is a combination of increased contribution from higher sales, and a reduction in both the operating cost base within the business area itself, and the corporate cost at group level. So, we then turn to Drive Control Systems on the next slide. We see here that, there's a reduction in revenue level compared to Q2 last year, but slightly higher than revenue in Q1 '25. On the cost side, Drive Control Systems is affected by both the higher accruals for estimated future warranty expenses, the net tariff cost, and the asset impairment related to a terminated customer contract. Similar to Flow Control Systems, there are also reductions in manufacturing overhead costs within Drive Control Systems affecting the quarter positively. So, in total, this brings the EBIT for Q2 to a negative EUR 12.3 million. So then on the EBIT bridge, when comparing to Q2 last year, the 2 most significant variances are the higher accrual for estimated future warranty expenses, reducing the EBIT, but also -- and it's what Trond mentioned, there's a significant reduction in the operational cost base of EUR 6.5 million compared to the same quarter last year. And in addition, in the bridge, we see the reduced contribution from lower revenue levels, the net tariff cost impact and the impairment effect. And this is generally the same picture when we look at the first half year 2025 compared to the same period last year. So then on the net income bridge on the coming slide, we -- when you look at this bridge, the lower EBIT level is, of course, the key explaining factor when we compare to the same period in 2024. But there is also a tax effect in the way that we have a net tax income in both Q2 2025 and the first half year '25 compared to a net tax cost in 2024. The difference relates to the lower and negative result in 2025 and the effect of the deferred tax calculations. So, on the free cash flow on the next slide. As Trond mentioned, the positive trend on a 12-month level continues, where there has been a significant positive development since the Q2 2024. And also, comparing to the negative cash flow in the first quarter this year, the slightly negative cash flow level in the second quarter is a significant improvement. Most importantly, within cash flow is the cash flow from operations, where there has been a significant improvement from the same period last year. This is driven also by a reduction in net working capital, which is evident also from the reduction in capital employed, which we will look at shortly. On the next slide, we have the net interest-bearing debt and leverage ratio. And in this graph, we have now also included the leverage ratio according to the Bond Term definition, which is the ratio which is relevant for the financial covenant reporting. This is that the blue line. Generally, the downward trend in the LTM EBITDA reported so far is also affected by the significant difference between the results in the first half year 2024, which is relatively strong compared to a much weaker EBITDA in the second half year of 2024. As you see, the development in net interest-bearing debt is relatively stable and has also been reduced since Q1 this year. And within this net interest-bearing debt, Kongsberg Automotive has an unrestricted cash level of EUR 72.8 million at the end of June, and an additional undrawn revolving credit facility of EUR 15 million. So, in total, we have EUR 87.8 million in liquidity reserve as per Q2. Then on the financial ratios on the next slide, we have commented on the leverage ratio already. We see a certain reduction in the equity ratio, but this -- but it is at a level that we see as more than sufficient and satisfactory for the operations of the group. And then as Trond has also mentioned both now, and in the Q1 presentation, one of our key focus areas moving forward is the improvement in cash flow. And we have received a reduction in capital employed of around EUR 15 million since Q1 2025. And the capital employed includes net working capital, which is one of the key drivers for the cash flow from operations. So, this concludes the financial part of the presentation and then Trond will go into the summary and outlook part.
Trond Fiskum: Yes. Thank you, Erik. Yes, we are coming towards the conclusion of this presentation. The summary of this presentation are the following: the EBIT is impacted by the revenue decline and increased warranty accruals. As you saw from Erik's part of the presentation, this was mainly in the DCS business area. We do have a positive trend on the cash flow. We do have an additional cost reduction program initiated, and with all the programs fully implemented during next year, we will have EBIT improvements in the range of 4 to 5 percentage points considering stable revenues, which is significant. We continue very focused on implementing the cost reductions, working on other operational efficiencies, working on improving our product portfolio profitability and preserving cash while we're working on developing our business and winning new business. We have renewed the executive leadership team and are reinforcing a performance-oriented KA culture. We have taken decisions to close our Swedish office, and to consolidate our manufacturing footprint in Sweden from 2 plants to 1. And we have made important acquisitions on -- regarding Chassis Autonomy, and also, taking the full ownership in our joint venture in China, which will position KA for a long-term growth. I want to emphasize that, restoring value creation for shareholders remains our top priority and that we strongly believe in the future of KA, and we are very determined to make changes that are required to realize KA's full potential. On the outlook, while we do see a decline in the sales volumes, the EBIT margin for second half of '25 is expected to be better than both first half of '25 and second half of '24. This is a result that is supported by the continued execution of cost-saving efforts. Regarding the market outlook for second half of '25 is not favorable as previously mentioned, and revenues are expected to fall below both first half this year and second half last year. The 2026 market outlook is, however, positive. So that concludes our presentation, and we can move over to the Q&A session.
Therese Sjoborg Skurdal: Thank you, Trond, and thank you both for the presentation. We will now move over to the Q&A session, starting with the first question submitted. Could you please provide more details on the warranty case, especially what is driving your expectation of increased warranty expenses going forward? And what issues are these related to? Additionally, what measures are you putting in place to ensure that this does not reoccur?
Trond Fiskum: Yes. This is, of course, a very relevant question. When it comes to specifics, we cannot comment on that as these are ongoing cases and discussions with our customers. The reported warranty cost for Q2 is primarily impacted by the increase of the warranty accruals for future warranty claims, and expenses for known cases. And this is a global portfolio we have of warranty cases, not only are good. And I want to emphasize that, it's not uncommon to have warranty costs as a part of an automotive supplier's business. In our case, clearly, costs are much higher than they should be. What this is based on is a quite comprehensive evaluation of the whole global portfolio we have of cases. And Erik has been involved and myself has been involved and we work with the team. And based on this assessment, we have concluded that it was necessary to increase the accruals. And this is then what we expect of cost going forward for known cases. Now, with warranty, there are always risks as these are also ongoing discussions. But this is our best estimate of the future cost cases. And then the second part of the question, specifically what is driving your expectation? Yes, that was answered. And what are these issues related to? Well, there are several reasons why there are warranty costs. There is a combination of many factors. It is what we have in contractual terms with our customers, and what we have accepted in contracts. It is our ability to deliver according to specifications and requirements contractually. And it's also very much how we handle the cases once they are known to our customer and ourselves. So, there are multiple factors and let's say, also multiple things we can work with. I will not and cannot go into specifics, but this has been a very, very strong focus for me since day 1. We're working on the direct causes. We're working on the indirect causes and the systematic causes. And I can assure you that, this is something that we will improve. We are working on both preventing future warranty situations at the same time, managing the current claims. As a part of the efforts, I also brought in May, a warranty expert that is now taking lead on warranty in KA. So, the specific measures is ongoing. And it will address all these different aspects, as I mentioned, when it comes to contracts, when it comes to our ability to deliver according to customer requirements, and also how we handle the cases. So, when it comes to -- again, the specifics, I cannot comment on that. But it for sure will improve going forward.
Therese Sjoborg Skurdal: Next question is about leverage ratio. Your leverage ratio has increased over time. Do you foresee any issues related to the bond covenant level, Erik?
Erik Magelssen: Yes. Thank you, Therese. So, on the question, no, with the picture that we see now, we do not estimate any issues in relation to the bond covenant level of 4.0. There are several drivers for this, including a significant cost reduction programs that have been initiated, and the focus on cash flow improvements. In addition, in the dynamics of the last 12 months calculation of the EBITDA, it's just good to be aware that the first half year 2024 was reported with a relatively strong EBITDA of EUR 30.8 million, and the second half year with a much weaker EBITDA of EUR 17.7 million. And it is now the second half year '24 that we will start to replace in the LTM calculation. I think on this team, it's also relevant to make some comments on the net interest-bearing debt in the company. Of the net debt level of EUR 126.8 million, the lease liabilities according to the IFRS 16 calculations is included with approximately EUR 67 million. So, the remaining net interest-bearing debt of approximately EUR 60 million is then a combination of the bond loan, the accounts receivable securitization facility and the cash level. And this is also specified in the Q2 report. And as you know, the lease liabilities, of course, have a long-term maturity structure. I think also just on the cash level, the group has an unrestricted cash level of EUR 72.8 million as per in June. And then we have an undrawn RCF facility of EUR 15 million. So, this gives a total liquidity reserve of EUR 87.8 million as per Q2.
Therese Sjoborg Skurdal: Next question. What is the reason for that -- sorry, again, what is the reason for that the warranty cost is put on Q2 solely? And why not put this on the period Q2, Q3 and Q4 to offset for the future warranties?
Trond Fiskum: Well, the reason why we are putting this in Q2 is that this is an accrual of known cases. And we need to set aside, this for the future expenses that we'll have for those known cases.
Therese Sjoborg Skurdal: Okay. Thank you, Trond. That was the last question in the webcast tool today. So, thank you, Trond and Erik, for your answers, and thank you all for joining us today. That concludes today's Q&A session and today's presentation. On the screen, you will see our next event, which is the upcoming Q3 earnings call in November. With that, I would like to thank everyone for participating in today's call, and we appreciate the engagement and you joining. Thank you, and goodbye.